Operator: Good morning, ladies and gentlemen, and welcome to APi Group's Third Quarter 2022 Financial Results Conference Call. [Operator Instructions] Please note, this call is being recorded. I will be standing by should you need any assistance. I will now turn the call over to Olivia Walton, Vice President of Investor Relations at APi Group. Please go ahead.
Olivia Walton: Thank you. Good morning, everyone, and thank you for joining our third quarter 2022 earnings conference call. Joining me on the call today are Russ Becker, our President and CEO; Kevin Krumm, our Executive Vice President and Chief Financial Officer; and Sir Martin Franklin and Jim Lillie, our Board Co-Chairs. Before we begin, I would like to remind you that certain statements in the company's earnings press release announcement and on this call are forward-looking statements, which are based on expectations, intentions and projections regarding the company's future performance, anticipated events or trends and other matters that are not historical facts. These statements are not a guarantee of future performance and are subject to known and unknown risks uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements. In our press release filings and with the SEC, we detail material risks that may cause our future results to differ from our expectations. Our statements are as of today, November 3, and we have no obligation to update any forward-looking statements we may make. As a reminder, we have posted a presentation detailing our third quarter financial performance on the Investor Relations page of our website. Our comments today will also include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our press release and on our presentation. It is now my pleasure to turn the call over to Martin.
Martin Franklin: Thank you, Olivia. APi had an outstanding quarter in a tough macro environment. The company delivered strong organic revenue growth, adjusted EBITDA, adjusted earnings per share and free cash flow. The financial results speak to the strength of APi's recurring revenue, statutorily required services business model and the team's focus on driving higher-margin growth as well as our ability to generate cash and run the business with a strong balance sheet. As we look at our long-term road map for sustainable shareholder value creation, we believe that through industry-leading, margin-accretive organic revenue growth, leveraging our SG&A, along with a critical focus on cash flow conversion to enable us to reduce our leverage profile and fund future acquisitions, APi can realize outside investor returns in the years ahead. We're very much looking forward to providing a more granular outline at our upcoming investor update on November 17 of the exciting opportunities we see in front of us to continue our organic growth and expand margins as we focus on our 2025 goals. I'm looking forward to seeing many of you out that - many of you there, but also encourage you to reach out to Olivia to register if you haven't already, as space is limited and the demand for the seats has been robust. With that, I'll hand over to Russ.
Russell Becker: Thank you, Martin. Good morning, everyone. Thank you for taking the time to join our call this morning. During today's call, I will begin my remarks by commenting on our strong third quarter results and highlighting some of the key drivers we believe will allow our business to continue to perform well in the remainder of 2022 and into 2023 and beyond. I will then provide a brief update on ongoing integration efforts at Chubb and outline the key topics we intend to cover at our upcoming investor update before turning the call over to Kevin, who will walk through our financial results and guidance in more detail. Before I get into highlights from our outstanding third quarter results, I would like to express my gratitude and appreciation to our team members. Since the beginning of our public company journey 3 years ago, we have battled many hurdles, including COVID-19, supply chain disruptions, inflation and bringing the business into public company compliance. Our team and their leadership has been the steady force keeping us pointed in the right direction. For that, we are grateful. Turning to the third quarter. I'm very pleased with our record results. We delivered solid free cash flow, revenue and adjusted EBITDA and adjusted earnings per share growth in a tough macro environment. Key highlights from our performance for the 3 months ended September 30, 2022, compared to the prior year period include the following. First, net revenues grew on an organic basis approximately 16.5%, the sixth consecutive quarter of organic growth since going public at the beginning of the COVID-19 pandemic, driven by a double-digit increase in inspection, service and monitoring revenue in our legacy business as a proportion of the business overall and the statutorily required safety services continues to grow towards our raised goal of 60% plus as a percentage of total net revenues. Our revenue momentum and robust backlog continues to reflect strong demand for our services across key end markets. Second, adjusted gross margin grew by 208 basis points to 26.3%. Our teams remained laser-focused on continuing the activities that help to offset short term margin pressures in the first half of the year, including pricing activities, focused growth in inspection, service and monitoring, strong spend controls, procurement initiatives and disciplined project and customer selection. As a reminder, on average, inspection and service revenue generates 10% plus higher gross margin, and monitoring revenue generates 20% plus higher gross margins than contract revenue. Third, adjusted diluted earnings per share increased by approximately 6% or $0.02, driven by strong operational performance and accretion from the acquisition of Chubb. Fourth, adjusted free cash flow of $166 million was, as I said, solid, exceeding our guided range of $110 million to $130 million and representing 159% increase compared to the prior year period. In summary, we are pleased with the execution and leadership across our businesses as we deliver on our near term targets while maintaining a long-term strategic focus and planning for the opportunities 2023 and beyond will bring. As we have discussed throughout the year, while supply chain disruptions and inflation have caused some downward pressure on margins in the near term, we do not believe these negative variables limit us in achieving our long-term goals. We look forward to providing additional details on our path to 13% plus adjusted EBITDA margin by 2025 at our upcoming investor update. As we move through the balance of the year and into 2023, we are confident that our focus on growing statutorily required high margin inspection, service and monitoring revenue, combined with our robust backlog and variable cost structure, positions us well to prosper even if the macro environment continues to be volatile. APi has proven its resiliency in managing the macro challenges presented over the past decade with strong organic growth of approximately 7%, augmented by cash flow-funded bolt-on acquisitions. The business has also historically demonstrated an ability to preserve profits and generate strong free cash flow, aided by its flexible operating structure with approximately 75% variable cost; an asset-light model with capital expenditures of less than 1.5% of net revenues; small average project size and short average duration for projects, which allows for frequent pricing adjustments to offset inflationary pressures. We continue to benefit from the accretive acquisition of Chubb and believe that it will continue to enhance APi by strengthening our resiliency in the protective moat around our business. While we do not know if we are headed into a recession or not, we remain disciplined, proactive and preemptive in how we operate our business. As many of you know, as part of our annual budgeting process, we challenged each of our operating companies to develop a long-term plan that addresses the opportunities in front of them as well as a downturn plan that addresses any potential challenges unique to their market and operations. We believe preparation is critical, not only on paper through our downturn plans, but also in preparing our business leaders to take definitive and early action if needed. Whatever the challenge, we intend to build on our successes over the last 3 years to achieve the goals we have set for ourselves over the next 3 years. Turning to Chubb. The integration and growth of Chubb remains a top priority. Since the closing of the acquisition, we have been working to complete the back-office separation of Chubb from its prior owner. We are scheduled to complete the separation work by December 31 and look forward to picking up speed on the work of integrating Chubb into the APi family in 2023. This acquisition is truly transformational, and we continue to be energized by the opportunities in front of us as we create a truly global company. We stand as the #1 life safety services provider in the world. This is a great accomplishment, and we would not be where we are without our people. As detailed in our press release on October 13, as part of our upcoming investor update, we intend to provide an update on the ongoing integration of Chubb, including the specific actions that have been taken, the initiatives that are underway, the savings achieved as well as new opportunities ahead, the efficiencies captured and the planned steps that will occur in the months and years ahead to drive savings, efficiencies and organic growth. In addition, we plan to provide a business update, including continued initiatives to drive future growth and margin expansion opportunities, strong earnings and cash flow and deleveraging plans. In this forum where we will have more time to talk about our strategy and opportunities outside the quarterly focus, we believe investors will better understand the clear path we have to make the most of the opportunities in front of us and achieve our 2025 goals as we continue to focus on shareholder value creation. I would now like to hand the call over to Kevin to discuss our financial results and guidance in more detail. Kevin?
Kevin Krumm: Thanks, Russ. Good morning, everyone. I will begin my remarks by reviewing our consolidated results and segment level operating performance for the third quarter before turning to our full year guidance. Reported net revenues for the 3 months ended September 30, 2022, increased by 65.7% to $1.7 billion compared to $1 billion in the prior year period. This was driven by revenue from acquisitions completed in Safety Services and strong organic growth in Safety and Specialty Services. Adjusted gross margin for the 3 months ended September 30, 2022, was 26.3%, representing a 208-basis point increase compared to the prior year period, driven by acquisitions in Safety Services and an improved mix of Inspection Service and monitoring revenue in Safety Services as well as improved productivity in Specialty Services. These factors were partially offset by supply chain disruptions and inflation, which would cause downward pressure on margins. Adjusted EBITDA margin for the 3 months ended September 30, 2022, was 10.7% compared to prior year adjusted EBITDA margin of 11.9%, driven by mix from completed acquisitions and supply chain disruptions and inflation, which caused downward pressure on margins. This was partially offset by an improved mix of inspection service and monitoring revenue and cost leverage on higher volumes. As Russ mentioned earlier in the call, net revenues increased on an organic basis by approximately 16.5%, driven by double-digit growth in inspection service and monitoring revenue for our legacy businesses and Safety Services. Approximately 2/3 of this growth was driven by price and pass-through of material and labor costs; and 1/3 was driven by volume, which we measure through labor hours. Adjusted diluted earnings per share for the third quarter was $0.37 per share, representing a $0.02 per share increase compared to the prior year period. This increase was driven primarily by acquisitions in Safety Services and strong organic growth in Safety and Specialty Services. I will now discuss our results in more detail for Safety Services. For the 3 months ended September 30, 2022, Safety Services reported net revenues increased by 117% to $1.1 billion compared to $533 million in the prior year period, primarily driven by revenue from completed acquisitions. Net revenues increased on an organic basis, 19.7% compared to the prior year period, driven by double-digit increase in inspection service and monitoring revenue. Adjusted gross margin for the 3 months ended September 30, 2022 was 30.7%, representing a 103-basis point decline compared to the prior year, driven primarily by inflation and supply chain disruptions, which caused a decline in productivity. This was offset by strong margin expansion in our core life Safety Services offering, driven by an improved mix of inspection service and monitoring revenue as well as pricing initiatives. Adjusted EBITDA margin for the 3 months ended September 30, 2022, was 12%, representing a 221-basis point decline compared to the prior year, driven primarily by SG&A leverage impacts from completed acquisitions and the reasons provided in the review of gross margins. I will now discuss our results in more detail for the Specialty Services segment. Specialty Services reported net revenues for the 3 months ended September 30, 2022, increased by 12% to $590 million compared to $527 million in the prior year period, driven by an increase in service revenue, increased demand at our infrastructure, utility and fabrication businesses, and improved capture of inflationary-driven price and cost pass-through. Adjusted gross margin for the 3 months ended September 30, 2022, was 17.5%, representing a 133-basis point increase compared to the prior year, driven primarily by improved productivity and improved mix of service revenue. These factors were partially offset by inflation, which caused downward pressure on our margins. Adjusted EBITDA margin for the 3 months ended September 30, 2022, was 12.5%, representing a 59-basis point increase compared to the prior year due to leverage on higher volumes and improved mix of service revenue. These factors were partially offset by supply chain disruptions and inflation, which caused downward pressure on margins. Turning to cash flow. Our cash flow performance in the third quarter was strong. For the 3 months ended September 30, 2022, adjusted free cash flow was $166 million, above our previously guided range of $110 million to $130 million, and representing a $102 million increase compared to the prior year period. The increase was driven by the positive contribution from acquisitions, continued focus on working capital and strong EBITDA growth in our legacy businesses. Our net debt to adjusted EBITDA ratio at the end of the third quarter was approximately 3.6x, and the weighted average maturity of our debt was over 5 years with the earliest maturity being in 2026. We remain laser-focused on cash generation and deleveraging at approximately one turn annually as we move towards our stated target net leverage ratio of 2x to 2.5x. I will now discuss our guidance for the balance of 2022. We have tightened our ranges for both revenue and adjusted EBITDA to reflect increased visibility and confidence in our outlook as we near the end of the year. On our last call, we highlighted that the strengthening dollar had negatively impacted our full year outlook. At that time, FX had been an approximately $145 million headwind at net revenues and approximately a $15 million headwind at adjusted EBITDA for the full year. Based on exchange rates as of the end of the third quarter and versus our original guidance in February, FX has now negatively impacted our full year results by $200 million in net revenues and $20 million in adjusted EBITDA. Therefore, on a reported basis, that is including FX impacts, we expect our full year revenue outlook to range between $6.45 billion to $6.5 billion compared to prior year guidance of $6.4 billion to $6.5 billion, and expect adjusted EBITDA will range between $660 million to $675 million compared to prior guidance of $655 million to $675 million. In spite of these additional FX headwinds, we've been able to hold the top end of our range and bring up the lower end of our range, which means our updated full year guidance reflects improved constant currency performance across our businesses. We've provided a slide in our presentation that lays this information out in more detail. We now expect growth in net revenues on an organic basis at constant currencies of 10-plus percent, up from prior guidance of 8% to 9%, driven by strong growth we expect interest expense for 2022 to be approximately $125 million, up from our prior estimate of $120 million. We continue to expect capital expenditures to be approximately $85 million and our adjusted effective cash tax rate to be approximately 24%. We expect depreciation for 2022 to be approximately $80 million and our adjusted diluted weighted average share count for 2022 to be approximately $270 million. We anticipate strong sequential free cash flow performance in Q4 relative to Q3. This is consistent with the historical trends, and our full year guidance for our adjusted free cash flow remains unchanged. We expect adjusted free cash flow in the fourth quarter to be between $190 million to $210 million, and we expect to arrive at an adjusted free cash flow conversion for 2022 at or above 2021 levels, which was 55%. This is on our way to our long-term adjusted free cash flow conversion target of approximately 80%. As mentioned on our last earnings call, we anticipate reaching a net leverage ratio below 3.5x by year-end as we move towards our previously stated long-term target of 2x to 2.5x. We look forward to providing more details on our plans to reduce leverage by approximately one turn annually and manage our fixed versus variable debt portfolio as part of our previously referenced upcoming investor update. I will now turn the call over to Jim.
Jim Lillie: Thanks, Kevin. Good morning, everyone. As you've heard, APi had a strong quarter, and year-to-date performance has been solid. Our continued execution of our plan and focus on driving shareholder value continues to demonstrate that the business model in which services growth, which is increasingly a function of controllable initiatives, is offsetting macro headwinds such as the COVID-19 pandemic, supply chain disruptions, inflation and foreign exchange rates. The business continues to perform well and deliver on its commitments, driven by strong organic growth and solid operational performance as well as our ability to mitigate margin pressures that exist on a macro basis through increasing high-margin inspection, service and monitoring revenue, pricing initiatives, disciplined cost controls and operational improvements. With the continued forward progress made in 2022, we believe that we are well positioned and well capitalized to continue to execute our business plans for 2023 and beyond. We are focused and adaptive as needed to create sustainable shareholder value by focusing on our long-term value creation targets, which we intend to cover in more detail at our upcoming investor update and including the following, one, delivering on long-term organic growth revenue above industry average; leveraging SG&A and COGS; expanding adjusted EBITDA margin to 13% by year-end 2025; targeting adjusted free cash flow conversion of approximately 80%; generating high single-digit average earnings growth; targeting long-term net leverage ratio of 2x to 2.5x; and finally, executing in an accretive M&A strategy. With that, I'd like to now turn the call back over to Russ, and look forward to seeing many of you on the 17th and detailing to you all the continued value of the acquisition of Chubb provides and the opportunities ahead for all of us. Russ, back to you.
Russell Becker: Thanks, Jim. With three solid quarters behind us and confidence in our operating outlook for the fourth quarter, our focus has largely turned to 2023. As I mentioned earlier, we intend to leverage the actions we have taken this year to make the most of the opportunities in front of us and achieve our 2025 goals as we continue to focus on shareholder value creation. I would now like to turn the call back over to the operator and open the call for Q&A.
Operator: [Operator Instructions] We'll take a question from Andy Kaplowitz of Citigroup.
Andy Kaplowitz: Good morning, everyone.
Russell Becker: Hey, Andy.
Andy Kaplowitz: Russ, so you just mentioned '23. I'm sure you don't want to get into it too much, but you made a statement in your earnings release that you're well positioned, well capitalized to continue to execute your plans for '23 and beyond. Can you characterize your visibility at this point to deliver the goals in '23 that you've laid out, high single-digit earnings growth, getting back to 80% conversion? Like any more color on sort of meeting these goals over the next year?
Russell Becker: Yeah, we feel confident as we move into the last months of 2022 and as we're working through our budgets and business plans for 2023. Couple of things that give us that confidence, Andy, is, first, we have a very strong backlog at roughly $3.6 billion. So as we move into the year, we feel good about that. We continue to have kind of that above 10% growth in our inspection business, which, if you recall, every dollar of inspection revenue we generate, we're going to add $3 to $4 worth of service revenue. And so as we continue to build out our inspection sales force, we continue to grow inspection revenue, we know we're bringing service right alongside with that. And our total service revenue now as a business is at roughly 51% of total net revenue. So we feel really good about where we've positioned the business as we move into next year. And I also, I guess - maybe I'd finish by saying that the end markets we serve are just strong, and they continue to provide robust opportunities for us as we move through it. And the end markets that we primarily serve have been really provided great opportunities right through the pandemic, right through some of the inflationary issues that we've been challenged with. So we feel really good about where the business is at, and the leadership at the company level has been really strong. And we continue to make the changes that we need to in Chubb so that we can continue to deliver good results.
Andy Kaplowitz: Russ, that's helpful. And then maybe to your last point, on Chubb, maybe give us a little more color into what you're seeing in the business there? What you're seeing by region? Obviously, your Americas continue to be strong. What you're seeing in Europe and Asia related to Chubb?
Russell Becker: Well, I would start by reminding everybody that as it relates to Chubb, 60% plus of their revenue comes from inspection service and monitoring. And so when you think about the business model, it's got really good resiliency as we look at potential recessions and particularly in Western Europe. So like when I think about Chubb, like every time I'm there, every time that we continue to interact with the Chubb team, like I get more fired up. And I go back to this like center of the fairway comment that we've made from day 1 as it relates to this transaction, like we are the right owner for this business. And I really believe that we are going to really improve the performance of the business, help this business really get to where it needs to be. And we continue to look at kind of - our priorities as it relates to Chubb is first is getting separated from Carrier. We were able to provide Carrier notice at the end of September that we plan to be exiting all of the transition services agreements by December 31. So our teams have done an amazing job of getting us to the point where we have confidence that we're going to be able to exit. We're focused on kind of rightsizing the business and addressing some of the kind of above the branch cost, which is something that's well overdue in getting the business positioned for growth, and we've shown organic growth through the three quarters of this year. And so as we continue to really transition the business to a branch-led model, which is how we've built our business, it gives me great confidence that we're going to be able to deliver a really solid positive result in that business.
Andy Kaplowitz: That's helpful, Russ. And then maybe one for Kevin. You guys reported a good step-up in cash flow in Q3. Can you give us some more color about the opportunity to get back to 80% conversion sort of what are you seeing, Kevin?
Kevin Krumm: Yes. So as we talked, we started out the year from a working capital standpoint with significant investment, both in dollars and in rate. And what we've continued to do as we move through the year is make significant improvements in our working capital rate. And you saw that carry through Q2, now into Q3. And with the flatter volumes Q2 to Q3, we were able to produce a good cash flow number. And we expect cash flow to continue to improve and conversion to continue to improve into Q4 as we traditionally see due to the seasonality in our North America business. As we go into next year, we expect to continue to harvest the investment that we made in the first half of 2022 and return to more traditional free cash flow conversion level. So an improvement off of 2022 on our way to that 80% - approximately 80% target that we have out there.
Andy Kaplowitz: Appreciate it, guys.
Operator: We'll take our next question from Julian Mitchell of Barclays.
Kiran Patel-O'Connor: Hi. This is Kiran Patel-O'Connor on for Julian Mitchell. I just wanted to ask on organic growth. It was pretty strong in the quarter, up, I think, plus 16%. Were there any end markets that were particularly strong or weak that you would call out relative to that number?
Russell Becker: Well, I mean, I think that - I mean the end markets that we serve, if you look at from a Safety Services perspective, we're focused on data centers, semiconductors, health care, end markets that have shown great resiliency through the last number of years and continue to actually provide opportunities for us. In Specialty Services, we do - we have the telecom and fiber optics space, continues to provide robust opportunities, public utility, private utility, natural gas distribution, retrofit opportunities from potable water replacement opportunities. So we feel really positive about the end markets that we serve. And the reality of it is that the business doesn't have a tremendous amount of exposure to retail and hospitality. It doesn't mean we don't do work in those spaces, but it's just not a huge emphasis for us. And so as those businesses kind of cycle, we don't have a tremendous amount of exposure to the space. So I hope that's helpful.
Kiran Patel-O'Connor: Yes, that is helpful. Thanks. And then my follow-up would be just on supply chain. I know you're still calling out supply chain disruptions as a headwind to margins. Have you seen any improvement here relative to earlier in the year? Or anything to call out from that perspective? Thanks.
Russell Becker: I think you see a mixed bag there. I think you have some areas that you've seen improvement, not only from a supply chain and product availability, but also from a cost perspective. As an example, we track very closely hot-rolled steel as it relates to -- we buy a lot of pipe. And so we want to know what's going on with pipe prices, and pipe prices have actually come down. And that should provide us with some sort of a tailwind as we look at the fourth quarter of this year from a margin uplift. But you still see some supply chain issues from chip and semiconductor and how that impacts the availability of vehicles, how it impacts the ability for fire alarm control panels in different products that we're continuing to try to source. So you really have a bit of a mixed bag there in how that impacts the business.
Kiran Patel-O'Connor: Got it. Thanks.
Operator: We'll take our next question from Andrew Obin. Your line is open, from of .
Andrew Obin: For Andrew, could we get an update on the backlog trends in the third quarter?
Russell Becker: Sure. So I think if you - our backlog is roughly $3.6 billion. Right - as it sits right now today, that's slightly down from $3.7 billion that we reported at the end of last quarter. That's very normal for us. We're - obviously, as we work through the summer months, we're - with some seasonality associated with the business, we have a tendency to burn off backlog through the summer months and into early fall. We typically rebuild backlog through Q1, Q2 as we move into next year. We continue to see robust opportunities in our pipeline. And I would also say that we are super disciplined from a project selection, customer selection perspective. So the fact that our backlog is slightly down, it's not necessarily a bad thing. We continue to focus on improving the mix to inspection on service and monitoring and don't have any concerns about really where our backlog is at right now today.
Andrew Obin: Then as a quick follow-up, when you think about pricing, look, the pass-through costs, they're going to be what they are, but the controllable pricing for you, are you continuing to accelerate that? Is that kind of leveling out? How are you thinking about the controllable piece of price?
Russell Becker: So we're continuing to take price wherever we can. I mean I think that's something that inflation continues to really be a very hot topic. And so we continue to push price in every instance in every place we can. We also continue to push the utilization of fuel surcharges and such. And so we really are focused on continuously trying to take price where we can. We also need to balance that with being fair to our customers and making sure that we're doing right by them and continuing to provide the best opportunities for the company. One other point that I wanted - I should probably make regarding our backlog is an item of note that Olivia pointed out to me is that on a year-over-year basis, our backlog is actually up 8% from this time last year. So our backlog is in a really strong spot.
Andrew Obin: Perfect. Thank you very much.
Russell Becker: Thank you.
Operator: We'll take our next question from Andy Wittmann of Baird.
Andy Wittmann: Good morning. I guess you had a comment about productivity in the Specialty segment. Russ, I thought maybe you could just talk a little bit more about that. Was that driven by easing supply chain and just you guys could be more productive because they had the parts they needed? Or was there something else driving that, that was in your control?
Russell Becker: Well, I mean, yes, for sure, it's - I mean the comment was directly correlated to easing supply chain issues in the segment. I think that from an operational perspective, Andy, every day, we're focused on trying to be better and trying to be more productive on how we manage and lead our work. And I think that's something that's like just the way we're wired is like every day, we want to be better than yesterday. And so some of that is just - is driven by that. You also have - it's been a dry summer. And so from a weather-related perspective, that provides a boost to your productivity when you're not dealing with rain days and rain outs and things like that. So there's a few things that have contributed to that.
Andy Wittmann: Got it. And then I guess for my follow-up, I was hoping you could talk a little bit about, I guess, I'd call it like net new business. If you could talk about the retention side of your recurring revenue businesses as well as the new sales opportunities both in the legacy mostly U.S. business as well as in Chubb, what you're seeing there in terms of customer retention the changes that you're making? And are they focused on? Or does the environment today allow them for new sales, giving so much consternation, particularly in Europe with what's going on there?
Russell Becker: So what I - how I would answer that with is like I can't give you like a hard data point that we've got 93% customer retention or anything like that. What I can tell you is that we have not seen a tremendous amount of customer churn. And I think that like if you look at like the way we incent and pay our inspection sales folks, they're a piece of the deal - the piece of their compensation packages based on customer retention and retaining customers from year to year. And that's something that we measure. So we have expectations there. And that piece of it and component of it has been really rock on solid. As it relates to Chubb, I would tell you that one of the disciplines that we need to help bring to Chubb is this whole idea of disciplined customer and project selection. So you will see us actually probably - I don't know how to put it, but we're going to probably need to eliminate some of our customers in some of the markets that we serve in that business so that we can enhance margins by eliminating whether they're poor paying customers or whatever it is. And so we are going to bring that focus to that business. And so if you're able to attend our Investor Day, you'll see that a portion of our -- kind of our revenue growth strategy actually includes some, I guess, elimination of certain revenue with certain customers as part of that strategy. Does that make sense?
Andy Wittmann: That makes sense, addition by subtraction. Okay. And then just maybe just one quickly for Kevin. Do you have - now that we're kind of along the path here on Chubb pretty far along, do you have an estimate of what the cash costs are going to be to finish the integration on that?
Kevin Krumm: We do, and we're going to walk through that as well as our updated thoughts around value capture at our November 17 presentation.
Andy Wittmann: All right. See you there.
Kevin Krumm: Thank you, Andy.
Operator: We'll take our next question from Kathryn Thompson of Thompson Research Group.
Kathryn Thompson: Hi. Thank you for taking my question, today. First, just focusing on margin, you have given some colors today. But just a clarification on why safety margins were down, but specialty up when they both seem to face the same tailwinds mix to more service and headwinds, inflation and supply chain issues.
Kevin Krumm: Hi, Kathryn, I'll take that. So on safety, when you look at our safety margins, they were down year-on-year. Primary driver of that really is on the contract side of the business where we've continued to push and battle inflationary as well as availability of some product that drove some productivity shortfalls. We believe the productivity component to be primarily captive to the third quarter. Again, it was just on some of the contracts that we had, project business that we had. We faced some availability of product that impacted us. All that said, in that business, our service margins continued to improve as well as the favorable impact of growth on the service side. So the mix component -- but it was really the contract side on the safety in the safety business that drove that margin shortfall. On the specialty side, we just didn't see that. We continued to -- our teams continue to do a good job on the project side of the business on pushing through additional inflationary costs. Service was growing well in that business, too. So we got a mix pickup. And then also, we had some volume pull through. The team did a really good job last year in managing our cost structure in that business, and we're starting to see some benefit of that as we continue to push through higher volumes in specialty.
Kathryn Thompson: That's helpful. It was a great detail on backlogs that you gave earlier. But as a follow-on to that, are you seeing any pockets of cancellation or softness related to projects, either on a renewal basis or with new projects?
Russell Becker: So I mean I guess I would answer by saying we've seen a handful of things slide out to the right, mostly like multifamily type project-related work. We don't do a tremendous amount of that type of work. And so it's like it really doesn't affect our business. But we continue to keep an eye on it. As a general comment, we do very, very little residential, whether that's single-family or multifamily housing. It's just not an area that really puts a lot of value on a company like ours that brings value and tries to sell value. Every day, it's really just a price-driven end market. And so we don't really play there. And - but we do some work, and we have seen a little bit - with higher interest rates, we've seen some of those projects slide out a little bit to the right, whether they - I'm guessing that they will happen based on the - that's primarily in North America, to be honest with you, in the U.S. I would suspect that you'll see - they'll eventually get built just because of the situation that the U.S. is in from a housing perspective. But with rising interest rates, you're going to see, I think, people being a little bit more cautious on kind of developer-led type projects.
Kathryn Thompson: Okay. Great. And a final question for the day. Just a discussion of how pricing discussions are going into '23 and dissecting surcharges for transportation versus stickier pricing. Thanks very much.
Russell Becker: Well, I mean, obviously, surcharges, you're going to adjust as fuel costs continue to change. And again, I go back to my comment that we need to be fair with our customers. I think, in general, the price that we're taking is sticky. And I think that we'll be able to hold that as we move into 2023. I'm sure there will be some situations where we have some customer pushback. And again, I'll just go back to we want our leaders to be fair to their customers. And we need to earn a fair margin, and we need to deliver superior service. And if we do that, I believe that the pricing that we've been able to take will stick.
Kathryn Thompson: Thank you very much.
Operator: Next question from Jon Tanwanteng of CJS Securities.
Jon Tanwanteng: Hey, good morning, guys. Thanks for taking my questions. Really solid performance and congrats on the results. My first one, Kevin, I was wondering, do you have an expected currency headwind estimate for 2023? And following that, what is your projected interest expense out of today's rate on rate forecast?
Kevin Krumm: Projected interest expense, Jon, for 2022?
Jon Tanwanteng: For 2023.
Kevin Krumm: So we're not - we haven't provided guidance for 2023. I can tell you on the FX, we do - FX is most acute in the back half of 2022, both from a revenue and from an EBITDA standpoint. And we expect at current rates to have a headwind in the first half of next year sort of comparative to the back half of 2022.
Jon Tanwanteng: Okay. Great. And then you mentioned just transitioning away from the back end at Carrier to your own shop. Is there any specific step function in run rate savings expected there when you do that transition? Or is it going to be just an increase on your expense?
Kevin Krumm: Jon, I heard you ask about savings and then I didn't hear the last part of that question on increase, or can you come back to that, please?
Jon Tanwanteng: Yes, I was just wondering if there are any expected run rate savings when you transition away from Carriers back in?
Kevin Krumm: Okay, I understand now. So first, the transition continues to move along well. Our goal is to get out by the end of the year, and we're on target. So the team has done a really good job there. On your question on incremental savings, I'll say -- or incremental cost, we don't foresee either. We think we're going to be able to manage in line with the charges that we've incurred that are in our run rate this year. As we go to our own environment, we -- our goal has been to do it sort of on a cost-neutral basis. And the team has done a really great job of being able to plan for that, and that is our sort of base case as we go into 2023.
Jon Tanwanteng: Understood. And if I could squeeze one more in there. Are there any areas where you're seeing significantly more or have less opportunity relative to either when you say your last -- your long-term targets last time or maybe when you closed the Chubb acquisition?
Russell Becker: Well, I mean, I would tell you that we see more opportunity, to be honest with you. I mean I just continue to be really excited about what we see with the business. I mean lots of examples, I mean, the cross-selling has really started. I mean we - Chubb has a security client that has multiple facilities here in North America. And they used to work with a different firm, and now they're working with our company to provide those different services. We're doing the same for them. We integrated - we had a business in the U.K. that their expertise was really in the sprinkler space. We've integrated that business into Chubb. We believe that we're going to be able to provide a sprinkler inspection and service capabilities to Chubb and add that expertise to their business. And I just think that our branch operating model works and it's solid. And as we continue to gain visibility into their business and bring that operating model to the business, it will allow us to lean out a number - say, a bunch of corporate costs, if you will, and bring the kind of the business back to the branch. We want our branch leaders to be outsell and work, and executing work, and spending time with their people and growing and developing their people. We don't want them sending reports up to corporate. And we want them winning in their communities that they serve. And we're going to bring that operating model to that business, and we're on our way to doing that. And it's - I mean I just like I can't tell you enough like I'm excited about it. And we are the right owner for this business, and Chubb has found the right home.
Jon Tanwanteng: Great. Thanks.
Operator: Our next question is from Adam Wyden of ADW Capital.
Adam Wyden: Hey, guys, great performance. Two quick housekeeping questions. The first one is you guys have been really aggressive on integrating Chubb. I know you guys were to quantify like what the return is and the absolute dollar amount of sort of cash cost. But I mean, is it fair to assume that the lion's share of the integration and restructuring is going to take place in 2022 and that were set up for sort of less add-backs in '23?
Kevin Krumm: Adam, this is Kevin. I would say that we anticipate as we continue to conclude our plans on value capture, which we're getting close to concluding, the activity to deliver it will carry into 2023. So I would say those charges, restructuring, in particular, I think with your question, will carry into 2023, but suspect they won't carry much beyond 2023.
Adam Wyden: Got it. Okay. And then the second question is, and we're seeing this in a lot of our companies that have kind of cost-plus contracts that you get the increased revenue, but your margins come down because you don't get a margin, you don't really get margin on that increased cost. As you roll into '23 as the inflation comps get much easier, you're not sort of chasing your tail. I mean do you think that that's going to be a major driver of margin sort of over the next 12 months as you sort of get to keep that increase of cost, but you then are able to reprice the margin?
Kevin Krumm: Yes, this is Kevin again. I think that's right. We incurred a margin drag this year that we've talked about. And as costs flatten and or revert, like Russ talked about hot-rolled coil as an example, we should see the lost margin in 2022 as a pickup to our margin in 2023.
Adam Wyden: Right. And in theory, some of that you might even not just get the lost margin, but you might actually get more margin as some of those costs do not mean some like a rebate to the customer, but in theory, some of them you'll actually get to keep, right? So in some theory, you'll get the margin that you lost this year and maybe even more so, right?
Russell Becker: Well, that would be ideal, Adam. But I was chuckling actually when you were asking your question, you talked about a major driver of margin. I mean I think we're incrementally going to see a pickup in our margins as we move into 2023. And really, we should see some of that margin pick up in the fourth quarter of this year.
Adam Wyden: Excellent. Well, great, guys. I appreciate all the hard work.
Russell Becker: Thank you.
Operator: We'll move next to Steve Tusa of JPMorgan.
Steve Tusa: Hi, good morning. Just on the price, I'm not sure if you guys gave this, we've had a couple of earnings calls this morning. But what was price in the quarter?
Kevin Krumm: Pricing was about two third of our organic revenue growth.
Steve Tusa: Got it. And then that - is that, I guess, kind of consistent with what you guys had in the second quarter have you guys put through incremental pricing here in the third quarter?
Kevin Krumm: Generally, what we've been seeing is that two thirds, one third relationship has really held through the year. I mean, as Russ said earlier, we continue to push pricing, and we will as we move into Q4. But the sort of the relative component of organic growth, that two thirds is really how we've seen it all year, and it's how we would anticipate as we move into Q4.
Steve Tusa: Got it. And then anything into next year? I'm not sure if you guys highlighted this kind of backlog stat that you put out there before. How is that trending? And anything in the next year that we should be aware of just from the bridge, whether it's EBITDA or cash or anything like that, that should be a positive or negative swing for '23 at this stage?
Russell Becker: No, I don't think so. I mean like I said in my earlier remarks, our backlog is, at this point, on a year-on-year basis is up 8%. And we typically burn off a little bit of backlog as we work through the summer and early fall. And so where we're at as we move into the end of the year, and it remains really solid and really should help set us up for a solid 2023.
Steve Tusa: Great. Congrats on the execution.
Russell Becker: Thanks, Steve.
Operator: And there are no further questions at this time. I'd be happy to return the call to our host for any concluding remarks.
Russell Becker: Thank you. In closing, I want to make sure I take the opportunity to thank all of our team members for their continued support and dedication to our business. They've really worked hard to deliver the results that we were able to present to you today. I'd also like to thank our long-term shareholders, as well as those who have recently joined APi for their support. And we appreciate your ownership in the company, and look forward to updating you on our progress throughout the remainder of the year. And we look forward to seeing many of you at our November 17 Investor Update in New York City. So thank you, everybody, for joining the call this morning.
Operator: Thank you. This does conclude today's program. You may now disconnect your lines. And everyone, have a great day.